Operator: Good morning ladies and gentlemen, and thank you for standing by for Kingsoft Cloud First Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After managements prepared remarks, there will be a question-and-answer session. As a reminder, today’s conference call is being recorded. I would now turn the -- host for today’s call, Miss. Nicole Shan, Investor Relations Manager of Kingsoft Cloud. Please proceed Nicole.
Nicole Shan: Thank you, operator. Hello, everyone, and thank you for joining us today. Kingsoft Cloud first quarter 2021 earnings release was distributed earlier today and is available on our IR website at ir.ksyun.com, as well as on global newswire services. On the call today from Kingsoft Cloud, we have our CEO, Mr. Yulin Wang; and CFO, Mr. Haijian He. Mr. Wang will review our business operations and accompanying highlights, followed by Mr. He, who will discuss the financials and guidance. He will be available to answer your questions during the Q&A session that follows. There will be consecutive interpretation. All interpretation are for all companies and the reference purpose only. In case of any discrepancy management statement, then in original language will prevail. Before we begin, I would like to remind you that this conference call contains forward-looking statements within the meaning of Section 21-E of Security Exchange Act of 1934 as amended and as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon management's current expectation and the current market and operating condition and relate to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control, which may cause the company's actual results, performance or achievements to differ materially from those in the forward-looking statements. Further information regarding this and other risks, uncertainties or factors are included in the company's filings with the U.S. SEC. The company does not undertake any obligation to update any forward-looking statements, as a result of new information, future events or otherwise, except as required under applicable law. Please note that unless otherwise stated, all financial figures mentioned during this conference call are denominated in RMB. It's now my pleasure to introduce our CEO, Mr. Yulin Wang. Please, go ahead.
Yulin Wang: [Foreign Language] Thank you, Nicole. And welcome you all for joining our first quarter 2021 earnings call. In this quarter we generated RMB$1.81 billion in total revenues among which public cloud and enterprise cloud accounted for RMB1.39 billion and RMB420 million, respectively. In addition to successfully executing our strategy of serving premium customers, we continued to improve our large-scale, highly stable and high-performance enterprise-level products and solutions that cater to growing demand across verticals including the internet, healthcare, financial services and public services sectors. [Foreign Language] Interest in public cloud, for many years we have offered secured, stable and comprehensive solutions to safeguard our customers spring festival gala campaigns providing them massive viewership globally with smooth high definition and interactive experience. We offered solutions including live streaming, on-demand streaming and electronic web packet campaign where our value added product such as Smart [Indiscernible] KFC 265 coder were fully utilized. Our new customer acquisition, Cloud we want a big data hybrid power projects for certain mobile internet unicorn company providing the company with products and services including [Indiscernible]service, leading it to operation and maintenance and shifts elastic capacity expansion as well as multi several hybrid cloud deployment and further reduces IT cost. In this quarter, we also signed letters of intent with several large player internet companies which laid the solid foundation to our medium to long-term revenue growth. In addition, our gaming ground we’re first to see revenue generation from cloud gaming to sign an agreement with Mihoyo to provide fast level cloud gaming for block buster game, gaming and their impact. Together with Mihoyo, we are dedicated to providing brand new whole game experience to gamers. [Foreign Language] We also published our cloud enabled product portfolio and launched two containers that enable customers to fully leverage the advantages of elastic and distributed cloud preference same on underlying resources concern. In addition, we officially launched Kubernetes [ph] a unified data platform for the public cloud. It helps customers significantly improve data agility with used development and maintenance cost and build a data eco system in combination without a big data flat products. Meanwhile we have been threatening our value added product capabilities including audio and video cash computing and other cloud native technologies. [Foreign Language]  Moving to enterprise cloud, market demand remained strong. We continue to dig deeper into select verticals and develop outstanding industry solutions. While much of enterprise cloud services is project based, we proactively seek to build and maintain long term cooperation and continue to obtain business opportunities. In the healthcare sector, during the quarter, we were selected to be the exclusive supplier for phase two of the Shantel municipality smart healthcare projects. We will continue to provide services based on phase one conducted capacity expansion and function upgrades, while in the meantime ensuring technical continuity, consistency and stability, all of which will help to further improve the digital healthcare capabilities of the region. In addition, we efficiently delivered the Sichuan team for healthcare cloud and the second phase of the Chengdu healthcare cloud, which includes deploying and testing of our galaxy platform, as well as expanding the capacity of their existing cloud platforms. These offer critical guarantees to the official launch of Tam [Ph] for healthcare cloud business and the construction of Jiangsu Province image cloud. [Foreign Language]  In the financial services sector, we continue to strengthen our data management solutions capabilities. According to the 2020, China's data management solutions market report published by third party industry Research Institute, Frost and Sullivan, among key market players, we are positioned in the first quadrant, leader’s quadrant together with top tier global cloud computing competitors. As financial services companies increasingly focused on data security and stability, we proactively seize market opportunities leveraging our position as the leading neutral cloud service provider. During the quarter, we provided comprehensive cloud based data services to the patient phone system of one of China's major state owned banks. The project consists of data ingestion, standardization and retrieval and processing. At the same time, we also successfully engaged with a leading Chinese internet financial platform company where we provide cloud delivery and security services to help reduce ID operating and maintenance costs. [Foreign Language] In the public services sector, our flagship projects are helping us attract more business. As of lead, we have to find a strategic cooperation agreements with 35 regions to facilitate their digitalization process. During the first quarter, we successfully completed a cloud project for the information center of the Beijing Municipal Commission of Housing and Urban Rural Development, helping the customer improves their digital capabilities and achieves secure and stable operation of their systems. We also want to be for Jiangsu Province Big Data Cloud project, which aims to realize integrated management capabilities across multiple cloud platforms, including Big Data Cloud as well as provincial and municipal level government cloud. In addition, we also want to build a cloud platform for the Toronto industrial internet public service system. The system will provide a full range of smart cloud services to industrial enterprises in Toronto and the surrounding areas. [Foreign Language]  Finally, in April, we published the both our first annual report and our first ESG report post our IPO. As the leading neutral cloud service provider, we attach great importance to corporate governance, our environmental and social responsibilities, as well as our sustainable development. We took the initiative to disclose our ESG progress in less than a year after we went public, even though it is not a mandatory disclosure requirement in the US. Report focuses on topics such as corporate governance, privacy and data security, human capital, and other progress we made throughout 2020 on our path to address the sustainable development of our business. This speaks to our commitment to integrate ESG practices into our day to day business operations, and to constantly improve the management of our business. [Foreign Language]  I will now pass over to our CFO Haijian to go through all financials performance for the first quarter.
Haijian He: Thank you, Yulin. Thank you, everyone. I will now discuss our financial performance for the first quarter of 2021. Please be reminded that all numbers quoted here are in RMB. Please also refer to our earnings release for detailed financial results. To begin with, I would like to highlight the following points; first of all, our total revenue were RMB1.8 1 billion this quarter. Revenue from public cloud services were RMB1.39 billion. Due to our high quality services and robust relationships with our premium customers, revenue from public cloud services has been increasing for five consecutive quarters. Our enterprise cloud revenue were RMB420 million, representing an increase of 131.3% year-over-year. Second, we achieved a record high quarterly adjusted gross profit of RMB122 million in Q1. Our adjusted gross margin for this quarter increased from 4.9% last quarter to 6.7% this quarter. The margin improvement was mainly due to the benefits received from investments into major enterprises cloud verticals last quarter, such as healthcare, financial services, and a stable contribution of public cloud revenue and margin service. Third, we expect our total revenue to be between RMB2.13 billion and RMB2.23 billion for the second quarter of 2021, representing a year-over-year increase of 39% to 45%, implying a reacceleration in Q2 2021. It reflects our success at engaging new customers and expanding our scope of services with existing customers. By December last year, our backlog of enterprise cloud revenue was RMB2.8 billion with the amount of customer’s procurement process after Chinese New Year holidays. Our backlog number keeps increasing certain new projects such a project in healthcare, financial services has been the addition to the backlog number of mentioned above. Lastly, our business is sufficiently funded as at the moment as of March 31, 2020. 2021 our cash position was RMB5.46 billion. Now I will go through the financial results in greater detail. Our product or services revenue reach RMB1.39 billion due to high quality services and robust relationship with our print customers. The usage of our printing customers has been increasing steadily, and the revenues from public cloud services has been increasing for five consecutive quarters, during the first quarter compared with a faster growth rate in the same period of last year when daily internet usage jumped significantly during COVID-19 outbreak last year. We saw a moderate year-over-year increase of internet usage in the industry in general. In addition, the recent happenings in the internet industry, as mentioned China in general particularly in streaming education, e-commerce and other verticals. And many of those companies are taking cautious stance on promotional efforts than the previous industry expectation and tightening regulations weighing our growth in a public health segments in Q1. During the quarter, enterprise cloud revenue increased by 131.3% to RMB420 million mainly reflecting the rapid growth in demand for our enterprise cloud services and a partially offset by the impact of Chinese New Year holiday season in this year, and also the late timing of procurement timetable compared with the previous year. Costs of the revenue increased by 28.5% year-over-year to RMB1.7 billion. IDC costs increased by 21% year-over-year to RMB1.11 billion. As a percentage of total revenues, IDC costs decrease from 66.2% in Q1 last year, to 61.4% in this quarter. Overall we are achieving greater economic scale and improving resource efficiency. Depreciation and amortization costs were RMB174.8 million. Other cost consists of third party software purchases and outsourcing costs associated with both public cloud and enterprise cloud as well as other equipment costs related to our enterprise services. Other costs were RMB394.0 million and the staffing costs were RMB15 million. We achieved a record high quarterly adjusted gross profit in Q1, it increased by 64.4% from RMB74.2 million in the same period last year, to RMB122 million this quarter. Our adjusted gross margin for this quarter increased from 4.9% last quarter to 6.7% this quarter. The margin improvement was mainly attributed to the benefits received from investment into other major compared cloud verticals such as healthcare, financial services last quarter and the stable contribution of public cloud revenue and margin. Total operating expenses were RMB468.6 million, up 30.3% from Q1 last year, mainly due to increase in share based compensation, starting salary adjustments, and fading of adjustments of social insurance favorable policy expenses, hiring talent hiring. Excluding share based compensation; adjusted R&D expenses were RMB202.0 million. As a percentage of revenue, R&D expenses decreased from 13.3% in Q1 last year to 11.1% this quarter. Adjusted selling and marketing expenses were RMB83.5 million. As a percentage of revenue, adjusted selling and marketing expenses decreased from 5.6% in Q1 last year, to 4.6% this quarter. Adjusted G&A expenses were RMB65.6 million, as a percentage of revenue they decreased from 4.2% in Q1 last year, to 3.6% this quarter. Our adjusted net loss was RMB218.4 million compared with a adjusted net loss of RMB243.4 million in Q1 last year. Adjusted net margin improved from negative 17.5% in Q1 last year to negative 12% this quarter. Our adjusted EBITDA was negative RMB48.6 million compared with negative RMB39.4 million in Q1 last year. Our adjusted EBITDA margin slightly improved from negative 2.8% in Q1 last year, to negative 2.7% this quarter. As of March 31 2021, we had cash and cash equivalents at RMB5.46 billion. During this quarter, capital expenditure were RMB213.4 million. CapEx as a percentage of total revenue decreased from 30.3% in Q1 last year, to 11.8% this quarter. Moving to the outlook, as we mentioned early, for the second quarter of 2021 we expect our total revenue to be between RMB2.13 billion and RMB2.23 billion, representing a reacceleration on a year-over-year basis of 39% to 45% compared with the first quarter. This is based on our current and preliminary views on the market and operational conditions which are subject to change.
Nicole Shan: This concludes our prepared remarks. Thanks for your attention. We are now happy to take your questions. Please ask your questions in both Mandarin and English if possible. Operator Please go ahead.
Operator: Thank you. Ladies and gentlemen we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Brian Gong of Citigroup. Your line is open. Please go ahead.
Brian Gong: Yes, thank you management for taking my question. My first question is regarding the public cloud sort of those things slowed down in first quarter. And I understand that last year was a high base and there was some record for reissuing first quarter this year. But does management thinks that the whole public cloud industry is slowing down? And for us, I just heard that we have, partnered. We have just signed some contracts or partnership with some big internet companies, [Indiscernible] what of course are those new customers eyeing. And this is my first question. And my second question is that the management shares, the backlog order amount for our enterprises out. And do you think you know this slowdown on public cloud industry, our competitors could become more aggressively under price on their personal sector, or  [Foreign Language] 
Unidentified Company Representative: Thank you Yulin. So thank you, Brian, for your question. So on the first question, you're probably right; you're right that the high base of the public cloud revenue last year was probably one of the reason when you look at the year-over-year growth of the public cloud run in Q1 this year. However, what we also highlighted that is our revenue from our core base of our premium customers, especially our top end customer has been very solid and robust. And in addition, we also made some good progress in engaging with new customers in our public cloud segments. So that's why as a result our public cloud revenue has expanded and growth sequentially for five consecutive quarters, as we mentioned. However, as you'll probably also notice that in industry in general, and in China, the regulatory environment, especially in Q1 has been quite, quite volatile and has a certain impact to the revenue in the public cloud of segments, especially, a few examples. For example, the content review certain mechanism from regulatory perspective has some impact to our streaming clients, which actually indirectly will affect the use it or public cloud resources. And also, as you know, the policies in the online education verticals also made many of our customers pretty much very cautious and prudent, adopting new promotional efforts, which actually should have increased our demand from analytical perspective. But we do believe those impact will be short term. And we do see that as a signal that in Q2, for our cloud revenue and usage, we'll see kind of acceleration in Q2, coming forward, as many of the factors we mentioned, were short term and seasonal impact. And speaking about enterprise cloud so in Q1, we delivered over 130% on the year-over-year growth, which we do believe is kind of highest level compare, even compared with the peers in the industry. The demand from the digitalization across different verticals has been has been kind of solid and very strong, including the public services, healthcare and financial services. I think speaking about comparative strengths and a unique kind of stress and value add from all Chongqing perspective, it's about a client engagement, capability of deliver deployment and implementation. It's not really about a sales compact; it's not really about the pricing competitions, especially in the first class segments. So that's why, given the demand is very robust. And I don't, we don't think that the competition is happening compared to have in the enterprise cloud segments. And as you know, by December last year, we have 2.8 billion backlog in enterprise cloud alone. And this number has not included any new engagement and the biddings we have won in Q1 this year. For example, as we mentioned, in the bigger healthcare cloud projects in Hubei province, [Indiscernible] for that project along based on the public data, which we kind of saw the public announcement recently, that project alone will deliver over RMB70 million revenue alone, which has not been included in the background number. However, we want to say that on a quarterly basis going forward, we will not disclose details, that number giving us sensitivity around the pipeline and client competition, but I think we can show that our backlog has been growing and also the on-going implementation of the existing backlog has been well seen, that's come through with a few colors hopefully helpful. Thank you.
Brian Gong: Thank you, that’s very helpful.
Operator: Thank you. Our next question is from the line of [Indiscernible] of CICC. Your line is open. Please go ahead.
Unidentified Analyst: [Foreign Language] And so my first question is regarding the public cloud business. So as we can see that the acquisition of new customers in the first quarter was undergone headwinds from the regulatory in the internet industry. So what will be our major focus for product diversification for the public cloud business? My second cloud is regarding the enterprise cloud business. So the enterprise cloud business recorded a solid growth in the first quarter. So what do we think of the growth potentials for the three main segments for enterprise cloud on, i.e. the healthcare, financial services and public sector And what would be an ideal business structure and gross margin profile for the three segments? And my third question is regarding the gross margin. So where will be our expectation for the gross margin going onwards for the next few quarters? Thank you.
Yulin Wang: [Foreign Language]
Unidentified Company Representative: Thank you, Yulin. Thank you, Sofia for these three questions. Translate for the first two and I'll take on the last one. And the first one regarding a public cloud. I think you probably have already mentioned that there were seasonal kind of regulatory impact on a Q1. But we want to highlight that our engagement and progress to the new customers, even some of them are starting with a low and small volume, but they are actually strategically important for our new customer strategy. We are making those progress on track in Q1, even though as we mentioned, the initial first phase of the testing or the initial trial version, the volume has been small. But we are seeing the great progress in connecting with a new and important customer with us. So speaking about diversification of the product lines and services, I just want to use a few examples. For example, in Chinese New Year live show performance events. As you all know, it is not only capture the live show video contents, but also there's a lot more interaction components in those events such as there are pockets events, and such as kind of massive and a scalable multi-line connections, direct connections in Chinese New Year events,, i.e. in the maximum peak time, we do see over 15,000 lines of direct connections in those video services. And those end users scenarios has helped us to diversify our product services, because these are the end demand from our customers. So to add one more data point, in addition, as you know, our cloud delivery revenue last year, the first two quarters last year was over 50%. And we do see as a percentage of total revenue, our cloud delivery revenue has dropped below 50%. And we do see that trend will further trending down, which was actually going to be a positive factor to have better diversification across delivery, computing and storage. And speaking about the second point on the enterprise cloud, I'll go one by one. On the financial services vertical, it is all about technology. So, by extending our know-how and experience a certain core technology capabilities to the major banks in China, it help us to strengthen our forte in those areas. For example, for those major banks, the big analytical platform, based on the cloud native technology has been very important for them. And it is a must have technology for those big banks in China. And by our proven experiencing in those areas but delivering capabilities to the clients we can engage in and also enjoy incremental demand and revenue opportunity from those clients. So this is all technology and demand driven business. Second, on the healthcare. As you know, we do believe that we do have a first mover advantage in healthcare. And given our real experience in many important cases and important areas such as the city level and provision level, healthcare cloud in Wuhan and also Hubei province, we do have accumulated enough resources and the capability and firsthand experience in those areas. And by pioneering those experience in one or two areas, and extending that into other provinces in China, such as Jiangsu and Gansu provinces, we can replicate our experiences and seeing good benefits for the economic scale, and have recurring revenue from those clients, given the solution itself is highly leverageable. And the third part on the public sector. And as you know, we do focus a few areas such as Beijing, Hubei, Jiangsu, Gansu and those provinces. Kind of strategy and the play card [ph] or the playbook for the business over there is we do want to establish a complete and deploy a high quality projects for the client and make sure in those important areas and important clients, we can be the pioneer, also the top tier vendor for them who can be trusted to deliver high quality projects and execution capabilities. So for the mid to long term, I think we feel confident that those experiences and execution quality of Kingsoft Cloud carrying our wholesale – D&A we'll gain enough and further trust from client and extending more business over there. And Sophia, you're right, that the growth margin from enterprise cloud has been a very positive factor to improving the Company's gross margin overall. And we do see the repeating and recurring revenues and also high quality solutions. We have been service our of client that also can serve as a positive factor for us. So on the third point, regarding the gross margin, I think you're right and as we discussed in Q4 last year, our strategic investment and the font-end certain costs in Q4 was the reason. But we do see the positive results, as you'll see that we successively winning in a bit of a few major projects. I think our investment and upfront cost last year was -- why I'm doing that and as they improving also the skills that we picking the right client worker, even they're kind of the first stage, we always carried out with a certain testing version on the front-end services. So as a result, I think we do keep a kind of same unchanged views regarding this year's gross margin on a company level overall. And I think over the next few quarters, maybe on a quarterly basis, the gross margin either on a percentage point or the value of dollar perspective, we have certain volatilities or over on a four year basis, we do believe hopefully, we can improve 5% to 6% of the gross margin compared with last year compared to 2021 to 2020. And I think for the long term, the gross margin reflecting our fundamental efficiency and improving products, diversification, client diversification as well. Thank you, Sophia.
Unidentified Analyst: Thank you. Very clear.
Operator: Thank you. Next question is from the line of Joel Ying of Nomura. Your line is open. You may proceed.
Joel Ying: [Foreign Language] So my first question is, what is current contribution from the three biggest customer from our public cloud sector? And what about the CDN contribution for the company in 1Q? And because we think the overall Chinese cloud market is going to slow down a little bit for 2021. So any potential changes or structural strategy will help us to gain better growth from public cloud especially in 2021? So my second question is about adjusted EBITDA. I think the adjusted EBITDA margin has been broken even in one month, maybe December in 2020. But it still go negative for 1Q, 2021. So I guess is that about net bonus or something related to personnel expenses? And what should we expect for full year and for second quarter 2021? So my third question is about the market competition dynamics. I think while we move up quickly in public cloud market last year in China gaining market share. So does company thinks that will be a major competitor or major threat to the cloud market or to the public cloud market or to enterprise cloud market as well for Huawei, considering Huawei as a major competitor or threat to the peers? Thank you.
Yulin Wang: [Foreign Language]
Unidentified Company Representative: Thank you, Joel for question. I'll go through first three questions and translate for Yulin and take the question on EBITDA margin. So for the project customers, as Yulin mentioned, the usage of our top premium customers has been stable in Q1. Given our public cloud revenue sequentially, you see some growth. So as a percentage of the total revenue of public cloud, those top premium customers as a percentage will see slower decline as a percentage point. So, on the CDN perspective, and as you know, the more and more customers are actually diversifying their demands across different business lines including storage computing and delivery. And the CDN revenue as a percentage of total revenue has also seen gradually decline as well. So I think that's one data point, I want to highlight is from Q1 last year to Q1 this year, the CDN revenue as a percentage of total revenue has declined around about 8% to 10% on a percentage point. Second point on the growth. So as you know, we are making progresses of the new customers and are engaging with them. And given the value of independency and neutrality we're engaging with new customers that actually who value our position as independent cloud provider. And for Q2, we have seen confidence that those in conversations and initial engagement with the new customers will gradually monetize and gradually become a revenue in a public cloud sector. And I think these are the major efforts that we are making in Q1, and we will carry further result for the following quarters. And the third point regarding the competitive landscape. I think the key line and we want to mention that, it's really about kind of strengthening and improving the capability not only from our technology solutions, but also about implementation, execution and services and maintenance for our enterprise cloud business. And there's no doubt that the digitization market in China across all traditional sectors has been very strong. And the key part is really improving our capability and especially in the financial services and healthcare. These are the two verticals required industry know-how and will require specialized experience and the firsthand experiences. So that's why you probably can understand that, have a good client sales relationships, doesn't always equal to a monetization of the client revenue. And the know-how and outstanding of our client demands and know their challenges, and it can help them resolve real questions would be more important to engaging with a trusted client relationship with them. And for the public sector services, as we mentioned, we do have some great advantage in the few areas and in provinces and cities as we mentioned. But the key is to really deliver kind of phase-by-phase our projects we already on hand. And I think the execution and implementation are the keys for all enterprise cloud peers including us and other peers as well. But I think on those areas we remain confident that given we're already working with them and some of that we're already working on Phase 2 or Phase 3. I think we do have a robust pipeline for not only the backlog, but also an implementation timetable. Alright. So for the last question regarding EBITDA. I think I want to highlight four -- three or four major reasons. The first reason is regarding a certain adjustments regarding the social tax in Chinese -- policy in China. So as you probably know, in COVID-19, last year in Q1, government in certain cities has that time announced they will make either full return or partial favorable policy on social security taxes for 2020 and 2021 for certain industry and certain companies. But however, for Q1 this year, given the new policy actually revised back to the normal status, so basically will have an impact. They have to pay a nominal rate of certain security tax and certain revised back to the normal tax policy. So those will have a round about 1.5% to 2% of the total revenue will have additional impact on the cost of the human capital. And the second reason is, as you know, as we are extending our revenue base and extending the core of our client base, we are engaged in hiring more talent across different product lines, especially for important strategic verticals. And the new hiring talent, many of them are the good and more experienced people and those who are reflecting the higher compensation level for certain employees. So as a result, the human capital related costs, were adding to the impact that you mentioned sequentially seeing a drop on the EBITDA margin. But those impact will be on a one-time basis, which means that as we are seeing a higher revenue base going forward, and the more dollar value of their profitability, we'll have the better impact to our EBITDA margin. So I think it's really about the timing impact. And we stay the same unchanged, that hopefully for 2021 on a full year basis, our non-GAAP EBITDA margin will be profitable, but it's all about the timing when they will get there. So hopefully as we are seeing better and high quality projects to be implemented and executed and our EBITDA margin will turn positive in certain quarter in this year. Thank you, Joel.
Joel Ying: Thank you very much for my question.
Operator: Thank you Next question is from the line of Kyna Wong of Credit Suisse. Please go ahead. Your line is open.
Kyna Wong: [Foreign Language] The first one is actually wanted to look at the overall China product cloud growth in first quarter. And given that the company has been outgrowing their peers, major peers in the market. Just wanted to see if like this trend or this performance will continue in the first quarter? The second question is about the new customers been in the first quarter, given the company has been share with us about some new customer needs. And so we could check the momentum on a new customer contribution. And the third thing about -- because given the regulatory tightening in the internet sector in China, if there's any like the impact to the long term investment for the company, et cetera, in the CapEx side? Thanks.
Yulin Wang: [Foreign Language]
Unidentified Company Representative: Thank you, Kyna for questions you just asked. On the first one, I think you're right. We have been growing faster compared with the peers in the public cloud segment. For Q1, given the reasons we've already mentioned, we think that our business progression have been in line with the industry of the public cloud market in China in general. And I think for certain peers, I think even in Q1, I think we're growing marginally faster than them. And looking forward, I think we still want to position ourselves as one of the player in a public cloud market. We can grow relatively faster than the selective peers as well. So for the second question as related to this point as well is, probably to understand for certain confidentiality and sensitive reasons, we may not disclose the names. But certain new accounts we're talking to have spanning from the live streaming video, the localized services, e-commerce and education, and we are making certain progress with them. Even though the revenue opportunity and usage in Q1 given those clients are relatively prudent and cautious. So it has not fully converted into a full revenue opportunity. But given we already have the client and a commercial relationships, and for some of them, we already have the technology testing completed. Hopefully for the following quarters, you will see a reacceleration of the public cloud revenue going forward. On the third question regarding the CapEx. You'll probably notice that in Q1 on $1 value perspective, our CapEx were lower than Q4 last year. That was our pre-judgment about certain impacts in Q1, including the Holiday Seasons, but also including potentially about logistics and supply chain issues. We have the pre-judgment call that we actually purchased enough and a sufficient hardware equipment service back in Q4, primarily last year. So that's why if you remember in Q4 last year, our CapEx was about $4 billion. So that will be basically prepare for enough inventory for this year's public cloud infrastructure and for the leading sales opportunities of the public cloud clients as well. So these are actually reflecting together. And for the plan for this year's CapEx, we think that there's also the same level as we previously communicated. We think around $1.5 billion CapEx will be a reasonable level to expect for this year. Thank you.
Operator: Thank you. The next question is from the line of Thompson Wu of UBS. Please go ahead. Your line is open.
Thompson Wu: [Foreign Language]. The first question is, in your 2Q guidance can you give us a firmer range for the growth in your premium and enterprise cloud revenue growth. Last week, we talked about a large customer loss in their public cloud business, in their international market. Is there any impact for Kingsoft Cloud in your domestic public cloud business? The third question is, there's been recent developments in China's, I guess, reseller or system integration or distribution of CDN business. Can you talk about Kingsoft Cloud's likes capabilities from a competitive perspective? Thank you.
Yulin Wang: [Foreign Language]
Unidentified Company Representative: Thank you, Thompson. I'll translate for the first two questions. So Yulin also answer the question regarding the guidance and the breakdown. So for the international business, as you probably know that even back in late part of 2019, we have some views even at that time, there will be a certain volatility in terms of the global geopolitical situation. So that's why we made a very prudent approach that regarding our internal budgeting, regarding the way we're engaging with our customers, et cetera. So, that's why, even though we already in early time have certain planning for certain regional business exposures and footprints for Kingsoft Cloud, but the actual revenue for our international business has been very, very small at this moment. So that's why those geopolitical impact to our international revenue, and the total company revenue will be very, very limited. And to your question, we also noticed that for our peers, they were affected by their major customer for their global business. But, as you probably know -- to add on one more point, as you know, that the ice level and infrastructure resources for the international business and domestic business in China has two different setup and a different network, different capacity and different licenses requirements. So that's why the redundancy or the idle resources from the global infrastructure will not be translate directly into the kind of oversupply of any potential kind of the capacity for the Mainland China business from a cloud player perspective if it is a question or the concern they want to ask. So for the second question. In our view, I think we are seeing the trend that given a cloud is a scalable business and there's a nature for the benefits of economic scale, the concentration of the top tier players still keep the same trends. And there's no major changes. And for the top tier cloud provider, and given people are providing the full stack of the services covering from both ICE [ph] pass and SaaS capabilities, we don't think this trend will be reversed. And by positioning ourselves as one of the major top tier cloud provider in China, I think we can enjoy that benefit as well. So on the last question regarding the breakdown, as you know, we have probably can only provide a verbal guidance on earning call given we have almost about one and more than one and a half miles towards the end of this quarter. And as we mentioned, we also have a good engagement with certain internet public cloud clients. So probably, we'll not be able to give a very precious guidance to have a breakdown. But what we can mention is, I think for the public cloud revenue and enterprise revenue, you will see both has a decent sequential quarter-over-quarter growth and on a year over year basis. And going forward for Q3 and Q4, especially the second half of this year, you will see probably it is likely that our year-over-year growth rate for the remaining three quarters of this year, hopefully, you will see acceleration quarter-over-quarter as well. As the bottom line, I think for the Q2, public cloud revenue will be at least in line or above our major peers in Q2 as well. I think that's probably certain comfort that for the public cloud, we may see a kind of acceleration in Q2 for those business. And we do have certain contracts and opportunities and the real opportunities of the revenue that kind of fitting aside, and hopefully, it can be delivered by end of this quarter. Thank you, Thompson.
Operator: Thank you. Our next question comes from the line of Elsie Cheng of Goldman Sachs. Your line is open. Please go ahead.
Elsie Cheng: [Foreign Language] So I just have a small question here on the cloud public cloud growth into the second half, as well as sort of the directional color on the full year, because we do see some of the headwinds into the first half of the public cloud space. Just wondering if we can provide some of the additional color into the second half, and how should we think about the fundamental drivers as well as some of the directional expectations on a number? Thank you.
Yulin Wang: [Foreign Language] 
Unidentified Company Representative: Yes, I think the other question on this question. There are three major reasons, or the major drivers. First of all is for our top tier customers their existing usage has seen a trend of growing historically, and for this year, we not only focus on new customers, but also the existing premium customers, their utility, their usage and their revenue has been increasing, that actually formed a solid base for our total public cloud services revenue for this year. And given those are the premium customers, so they are actually making the investment to their own business, for example, adding the new features and the new product lines and the new applications for their business. So their demand and their growth and investment into their own business and user scenarios work, basically the foundation for our growth opportunity from those existing premium customers. The second point is regarding the new customer expansion. So I think from commercial sales, relationship and technology compatible testing, and also both engagement, I think, as you mentioned, we're making some progress. And taking certain kind of initiatives to engaging with the new customers, that's actually going to be the second driver. And many of those areas and efforts will be basically morning highs and gradually a push down to the kind of revenue and realize the revenue opportunity. And the third pass through is really about the new product feature and the requirements. So that means that not only for the new but also existing customers, they're the new area of the usage, such as cloud gaming, as we mentioned in the prepared remarks, that in sight from Q1, as a leading pioneer in cloud gaming areas. And in gaming industry in general, we are seeing a good traction, that some of the leading gaming companies already deploy their gaming products through the cloud companies. And those are already bringing us a meaningful level of the cloud gaming revenue in Q1. And we think that those revenue will seem a good level of expansion for the remaining months to go for this year. I think this is only one of the example. I think in the area of BI [ph] and other IoT or 5G related areas will be also the important areas where we'll see the new demand and new technology can generate and translate to the revenue opportunity. Thank you.
Elsie Cheng: Thank you.
Operator: Thank you. And I like to have the conference back to the presenters. Please continue.
Nicole Shan: Thank you operator and thank you once again for joining us today. If you have any further questions, please feel free to come back. Look forward to speaking with you again next quarter. Have a nice day. Thank you.
Operator: Thank you. This concludes today's conference call and thank you for participating.